Debra Crew: Good morning, everyone. Thank you for joining our results presentation for the first half of fiscal '25. Today, I will begin by providing an update on our performance for the half. Then our new CFO, Nik Jhangiani, will share his early impressions of the business, and discuss our results, the recent tariff announcements and the near-term outlook. I will then come back and share some final reflections. Starting with performance. Despite a continued challenging macro environment and industry backdrop, in the first half of fiscal '25, our results showed positive momentum. Organic net sales returned to growth of 1% and with growth in four out of five regions, including North America. While consumers remain cautious and the macroeconomic recovery is taking longer than expected, particularly in North America and China, I am pleased with the results we have delivered in the half. At the end of the last fiscal, we shared our confidence that the actions we were taking would return us to growth as the consumer environment improves. Today, our performance demonstrates that we are making meaningful progress, even though the environment remains challenging and will likely continue to be volatile given the recent tariff announcements. Our focused strategy is delivering results. Notably, we have held or gained market share in 65% of our net sales in measured markets. We also continue to effectively leverage the strength of our diversified portfolio across price tiers and geographies to respond to emerging consumer trends. Looking ahead, we see opportunities to continue to outperform. We are focused on strategic initiatives that will enhance our financial resilience driving sustainable long-term growth and the ability to deliver positive operating leverage in the future. More on this from Nik and me later. One of Diageo's great strength is our broad and diverse presence across regions and markets. This provides resilience and the ability to participate in global growth opportunities through our globally recognized brands and our vibrant local portfolios. Some brief highlights from the regions. Return to organic net sales growth in North America, albeit slight, but a meaningful sequential improvement compared to the last fiscal year. I'll come back to this. Europe delivered resilient performance in a continued challenging environment, with Guinness again, the key driver of growth in the region. In Asia Pacific, performance was negatively impacted by a weaker macroeconomic environment in Greater China, challenging trading conditions in Southeast Asia and the region was also impacted by the lapping of Shui Jing Fang supply replenishment in the prior year. Latin America and Caribbean, our LAC region is back in growth, partly attributed to deliberate actions that we took across the region. Destocking is now complete, and we are also seeing a consumer environment that is modestly improving, notably in Brazil, and we are also seeing some stabilization in Mexico. Finally, we continue to deliver strong organic net sales growth in Africa despite ongoing macroeconomic challenges. Moving to market share. In the first half, we held or grew share in 65% of our total net sales in measured markets. We have delivered share gains in almost all of our largest markets, including the U.S., most of Europe and Greater China. I'm particularly pleased with our improved market share performance in the U.S. which has shifted into solid share gain position driven by U.S. Spirits, a testament to our strong and focused end market execution. While these results are encouraging, I continue to see opportunity for us to do more. We are firmly focused on driving further improvement. Our strategic investments in digital and route to market, which are progressing well, should underpin future outperformance. Digging in a bit deeper in the U.S. Despite a gradual improvement in consumer sentiment, the U.S. broader consumer environment continues to be under pressure with grocery baskets still at 30-year highs. In this environment, total beverage alcohol has been slightly declining with the U.S. Spirits market modestly better, but remaining flat. Premiumization in bottled spirits continues with super premium plus priced products driving growth, while premium and below core price products are declining by low-single-digit. With ongoing economic pressures, we've seen that consumers have opted for smaller pack sizes. In fact, four out of 10 of our largest share gainers have been in these smaller formats. Importantly, these formats have ensured that consumers stayed with our premium brands. Our strategy in the U.S. is delivering results, fully leveraging our innovation and targeted investment and driving stronger execution. With circa 90% of our U.S. total net sales winning or maintaining TBA market share at the end of the half. We focused our resources and investment in high-growth categories in brands like Don Julio and Crown Royal. And we're encouraged by early results from our regional investments as part of our route-to-market transformation announced in the last fiscal. In Whiskey, Crown Royal, share performance continued its momentum, gaining share of U.S. total spirits market in the half, driven by strong performance from Crown Royal BlackBerry. This initially launched as a limited time offer but has shown strong consumer demand and has been the #1 innovation in bottled spirits in Nielsen for the past seven months. Because of the success to date, we've made it a permanent addition to our flavor portfolio as it attracts a distinct audience, driving excitement and interest in the trademark and recruit new drinkers with one in five being new to Whiskey. In Tequila, our portfolio delivered strong results, led by aged variance of Don Julio, particularly Don Julio Reposado, where organic net sales growth more than doubled in the half. Don Julio maintained share leadership of the Tequila category and was the #1 gainer in total spirits as well as the #1 Tequila category share gainer. While I'm pleased with results, there is more work to do, and we are not standing still. One example of this is Casamigos. We are making progress on its turnaround. We announced at the end of the last fiscal year that we're fully integrating the brand into our dedicated transformed distribution network. The team's focus has been on commercial execution and enhancing brand awareness. And we're encouraged by some of the early signs of success, although it is still early days. Looking ahead, while we are pleased to have returned to slight organic net sales growth in such a difficult environment, we have more opportunity in front of us to emerge stronger. We are confident that the actions we are taking are working, and this will enable us to continue to win as the U.S. consumer environment improves. Moving on to our largest category's performance. In Scotch, we are proud of our advantaged position and our brands account for more than one in three bottles of Scotch sold globally and represent one-quarter of our global net sales. In the half, Scotch organic net sales declined by 5%, largely driven by softer industry performance in North America and Greater China. We saw some down trading within the category as a result of the macroeconomic environment and continued pressure on the consumer. Importantly, while maintaining price discipline, we are gaining quality market share in the Scotch category in measured markets that represent 70% of our total NSV, including the U.S. This was led by Johnnie Walker delivering strong share growth in the category. Our success has been supported by fewer but larger and more impactful collaborations, such as Johnnie Walker, Black Label and Squid Game and Johnnie Walker Blue Label and Ice Chalet. We continue to drive recruitment to the category, and we've also focused on supporting innovation that attracts younger LPA+ consumers and women. This includes the ongoing rollout of Johnnie Walker Bland and the introduction of Johnnie Walker Black Ruby. We've continued our focused strategy on single malts with our priority brands gaining share globally. In the latest data, The Singleton, our #1 priority malt brand was the fastest-growing single malt globally. Tequila organic net sales were up 21% in the half, with share gains across our business. North America was the biggest driver of the growth. Our Don Julio ultra-premium brand has been the biggest driver of this growth, specifically Don Julio Reposado, as interest has accelerated in aged Tequila. Don Julio 1942 growth was supported by strong interest in the 1942 50 ML bottles that we featured at the Oscars last year. This launch alone drove more than 50% of the total 50 ML Tequila market growth. Our global rollout has continued throughout the half, Tequila organic net sales more than doubled in Africa, and we delivered double-digit growth in Europe as well. In the more established North America and LAC regions, we also delivered double-digit growth. The Paloma cocktail continues to be our successful recruitment tool in Europe through Paloma tours, fashion weeks and major international festivals such as the British Summer Time in London and the Sziget Festival in Budapest. In the first half of the year, we served nearly 275,000 Paloma cocktails into the hands of our European consumers. I have spoken before about GenZ in the U.S. being more likely to purchase spirits than millennials were at the same age. Within this, what we also see is that Tequila is a significant driver of GenZ penetration growth for core spirits, representing an exciting and promising growth opportunity for Diageo. And Guinness continues to outperform. Guinness has now achieved its 8th consecutive half of double-digit growth, delivering 17% organic net sales growth in the half. Importantly, we held or grew share in our three largest markets. Guinness is now the #1 TBA brand in Ireland and in Great Britain, the #2 TBA brand and #1 Beer brand. Demand in Great Britain has surpassed our expectations with one in 10 pints sold now being Guinness. And while we are pleased by Guinness's success in its heartland with double-digit growth in Europe and Africa, we are encouraged by its growing global momentum in the rest of the world, cultural engagement activations like our partnership with the English Premier League, and strong social media engagement have driven impressive traction in North America, Australia and Greater China. In the U.S., Guinness was the fastest-growing major import beer in the on-premise with distribution expanding well outside of our traditional home in the Irish pubs into casual restaurants, sports bars and neighborhood bars. To meet the continued strong demand for Guinness 0.0, we are doubling our original investment to expand capacity. In the half in Europe, Guinness 0.0 continues its record almost doubling its top line growth. Guinness 0.0 now represents 12% of Guinness net sales in Great Britain. I am motivated and inspired by the passion and pride that our teams around the world are bringing to this iconic brand. We are looking forward to showcasing this at our event in May. I will now hand you over to Nik, to take you through his first impressions of the business. He will also discuss our performance, the recent tariff announcements and our near-term outlook.
Nik Jhangiani: Thank you, Debra, and thank you all for joining us today. I'm very excited to be with you to discuss my first set of financial results as the company's new CFO. As Debra mentioned earlier, it's a volatile and uncertain time for the sector and the market but that uncertainty creates a lot of opportunity for us. And as such, I'm very excited to be joining at a moment in the company's history, where the opportunity has never been greater. Before I delve deeper into these results, I'd like to share a few reflections on my first few months with the business. It's truly been a world wind and I have literally traveled around the world immersing myself in Diageo and the broader spirits business. I've visited four continents on which I spent time with the local teams in New York, Miami, Amsterdam, Milan, Cape Town, Bangalore, Singapore, Nairobi, Shanghai and Chengdu and also with the teams here in London. And most importantly, I've visited with all of our executive teams in their local markets. This is clearly a company with amazing brands that are full of history and heritage and amazing people who are passionate about those brands and quite rightfully so. I'm particularly grateful for the openness with which I've been welcomed, and with the relationships I've started to build, especially with Debra, the executive team, my CFO leadership team and the Board as we work in partnership. I'm also grateful for the feedback that both investors and analysts have shared with me on this journey, and rest assured, the importance of consistency of performance through top line delivery and positive operating leverage has been heard loud and clear. Let me reinforce that we are committed to doing the right thing and are firmly focused on what we can control and manage through this more challenging industry backdrop, including the evolving situation on tariffs. While this is a business with very attractive margins and one which is highly cash generative, there is more for us to do. An immediate priority will be to strengthen the balance sheet and deleverage so that we can add more flexibility. And I'll go into these in more detail after going through the results. So let's start with the half year highlights. We are very pleased to be back in growth with an improvement in organic net sales up 1% in the half. We drove not only incremental top line improvement but also gross margin improvement and lower absolute A&P reinvestment. However, overhead costs including staff costs and incentives and strategic investments, largely one-offs negatively impacted our profitability and our organic operating profit declined 1.2%. More on this in a moment. Pre-exceptional EPS declined about 10% to $0.977 per share primarily due to the performance of Moet Hennessy in which we have a noncontrolling interest and also unfavorable foreign exchange. Free cash flow increased by $125 million to circa $1.7 billion, driven by working capital management, more on this and leverage later. Finally, as you will have seen, we have today also announced a dividend of $0.405 for the half. This is flat on last year, which we think is the prudent thing to do given the current environment. We do remain committed to growing our dividend over time, and we will also look to maximize total shareholder returns, a key priority for us. So let's get into a bit more detail. Looking at the top line, organic net sales grew 1%, a sequential improvement from the second half of fiscal '24. The primary driver of the growth in organic net sales was price mix, with four out of our five regions delivering positive price mix, which was great to see as we must look to achieve broader discipline around pricing going forward. Starting with volume, NAM, Europe and LAC also volume declines given the cautious consumer sentiment in light of ongoing macroeconomic volatility and inflationary pressures. This was only partially offset by positive volume growth in Asia-Pac, particularly in India and Africa. While we're not relying on the return to positive volume in the short term, we acknowledge its importance in driving improved net sales performance going forward. Looking ahead, as consumer confidence improves, we would also expect volumes to come back. Moving to price/mix in North America, positive price mix was driven by Tequila with consumers increasingly moving towards aged liquids. Whilst in Europe, Guinness was the main driver of the growth. We saw a good turnaround in LAC price/mix as the region recovers from a period of consumer down trading. In Asia Pacific, price/mix decline driven by consumer down trading in Southeast Asia and China, and in particular, a double-digit decline in Vietnam more than offsetting premiumization in India from Prestige and above. Now turning to operating profit. Organic operating profit in the first half of fiscal '25 declined 1.2% versus the first half of fiscal '24. As I said, the decline was primarily due to increased overheads due to staff costs, including incentives and wage cost inflation as well as strategic investments. Excluding the impact of reinstating incentives, clearly a one-off, organic operating profit would have been slightly up. This reflects our current assumption of recovery after lower bonuses for the last few years, given improving performance as well as the need to acknowledge with broader employee engagement. Going forward, we would after navigating the disruption of the evolving situation in the U.S., expect to more than offset these increases through positive operating leverage, including through productivity and efficiency savings. Gross profit increased $83 million, driven by top line performance and gross margin increased 19 bps as a result of our supply efficiency initiatives and aided by easing inflationary pressures. A&P investment declined by $37 million or 2% organically, primarily driven by lower investment in Asia-Pac, mainly in China. We do remain agile with our A&P spend, ensuring that we invest as and where appropriate. For instance, we deliberately increased investment in Don Julio in the U.S. and Guinness in Europe, and both delivered strong results in the half. Across the rest of the globe, the majority of A&P efficiencies were reinvested back into the business, but more on this approach as we look forward. So on to cash. Year-over-year, free cash flow improved by $125 million, largely driven by working capital improvements, resulting from the movement in creditors and a reduction in investment in maturing stock. The latter is not expected to be repeated in the second half. And we haven't said anything to indicate that you should expect a dramatically different increase in maturing stock for full-year fiscal '25 compared to the last year at this point. On working capital, excluding maturing stock, looking ahead to the full-year, I'm mindful of the strong working capital performance the team delivered in fiscal '24. While I do see an opportunity to deliver more from working capital over time, for fiscal '25, I expect any EMEA free cash flow benefit to be more muted. CapEx was over $600 million, a small increase from last year due to continued projects to support Tequila expansion, investments in digital capabilities, and our supply agility program particularly in North America, which was announced on Thursday last week. As a reminder, for fiscal '25, we guided to CapEx at the higher end of the guidance range, implying higher CapEx to come in the second half. I noted earlier that EPS pre-exceptionals declined almost 10% compared to the first half of fiscal '24, and this was largely driven by a non-controlling stake in Moet Hennessy. Additionally, FX resulted in a materially adverse impact on operating profit. Looking ahead on FX, we're looking at our hedging policy, and we'll revert on this for next year. The changes that we're looking to make will be focused on reducing volatility and providing more clarity on our hedging approach. The impact of lower tax was also beneficial to EPS. Moving to the balance sheet. We finished the first half with average net debt of $21.7 billion, an increase of $1.1 billion on last year, mainly due to the share buyback impact in the second half of fiscal '24. Closing net debt, however, was relatively flat. Given the lower EBITDA year-on-year, our leverage ratio increased to 3.1x ahead of where we ended in the prior fiscal year and above our target range of 2.5x to 3x. Clearly, there is a lot of work to do here, and reducing this is one of our key priorities going forward, as I said earlier. Now moving to tariffs. Unfortunately, this adds complexity to providing forward-looking guidance today. While we had hoped to share before last weekend's news of building momentum in fiscal '26 with further sequential improvement in organic net sales growth and positive operating leverage, this is now on hold, pending greater visibility on how the situation evolves. As you will know, President Trump in one of his three separate executive orders, announced the implementation of 25% tariffs on goods imported into the U.S. from Canada and Mexico. The U.S. executive orders further stated that should any reactive tariffs be imposed by such nations, this would, in turn attract further retaliatory tariffs. It is clear that the situation is still extremely fluid, particularly around the implementation and timing of any retaliatory tariffs and the impact and, of course, any potential response to that retaliation. Importantly, Diageo starts from a position of strength with a broad global portfolio across categories and geographies, and we have demonstrated agility in navigating tariffs in the past. While tariffs can be quite disruptive in the short term, we generally can mitigate long-term impact with our broad and resilient portfolio. However, in the U.S., circa 45% of our net sales of our products sold must be made in either Canada or Mexico given geographic origin requirements. The key products, which would see this impact input costs would be tequila, which must be made in Mexico, and of course Canadian Whiskey. The vast majority of our net sales impacted is from Mexico. As a reminder, tariffs will be on the input cost, not the retail price. The introduction of tariffs was an anticipated scenario, albeit the effective immediate timeline does create additional uncertainty. We have done considerable contingency planning over the last few months focused on what we can control and on the potential depth and timing of tariffs. Given our extensive supply chain and broad and advantaged portfolio, there are a number of possible actions to help mitigate the potential impact, including pricing and promotion management, inventory management, supply chain optimization, and reallocation of investments. Some of these actions can be implemented rapidly, and in fact some have, including on inventory management, but others will take time. We will continue to be agile and respond with speed as key details are confirmed as well as look to providing updated guidance as and when appropriate. Let me now talk to our reshape priorities to deliver long-term sustainable performance. We have adapted these priorities based on my prior experiences and importantly, to also reflect a slower market recovery given the current macroeconomic and geopolitical uncertainty. We expect these renewed long-term priorities to drive both increased agility and resilience across the business. While these priorities aren't entirely new to Diageo, they will have a clearer and more prominent focus across the organization going forward. First, we will be dedicated to delivering sustainable top line growth supported by continued outperformance against the market. Second, we are committed to deliver operating leverage, not just through efficiencies, but also by being more effective in how and what we do. Through increased operating leverage, we intend to maximize free cash flow, thereby deleveraging and creating more flexibility and we see a number of opportunities here, which I will discuss in a moment. Finally, through all of this, we will continue to optimize our returns, not just for the business, but also ultimately for the shareholders. Let me take you through all of this in a bit more detail. So to start, we will be focused on driving sustainable top-line growth with the right balance of volume, price and mix. We intend to drive volume growth through capturing growth from the longer-term favorable macroeconomic drivers and underlying fundamentals and leveraging the strength of our portfolio and brand building capabilities, which I believe are really best-in-class and of course, supported by world-class innovation. Also, we will be rigorous in applying disciplined pricing across our markets. And as market leader, there is more that we can and should be doing. For this, we will be using both existing digital tools and price spike architecture across our markets, and Debra has already talked to some of the benefits we're already seeing from this with the small sizes in the U.S. and a lot more growth to capture here. There's much more we can do to learn in best-in-class RGM capabilities from our consumer peers, which both Debra and I have been well exposed to. Strengthening our capabilities here will underpin and support our sustained top-line growth. Finally, we will be looking at the RTD and RTS category, an area where perhaps our strategy has been less clear to date. We believe that in selected markets, this can be a strategic advantage as a strong driver of recruitment for LPA+ adults, and ultimately by offering a great entry point into spirits. Let's now turn to operating leverage. Debra and I see great opportunity to drive sustainable, positive operating leverage. Diageo's talked about the $2 billion productivity program. The intention is to recut this and apply across the fuller business, but importantly on this, we are also committed to sharing the expected benefit that we would like to drop to the bottom line to support operating leverage growth. While I remain fully committed to investing for both the short and long-term with A&P spend, we will be adding more rigor on measuring the effectiveness of the spend. This includes fully leveraging data using our updated catalyst tool and ensuring that we're ruthless in allocating the right level of spend of non-working and working marketing dollars. With the latest technology developments, we clearly see opportunities to reduce non-working spend. Our marketing teams are now structured around conscious create and agile brand communities, teams on our global brands to help embed this focus around the globe. We will continue to be highly focused on media efficiencies, which will enable us to get a more balanced approach to reinvest savings back into the business, but also drop to the bottom line where appropriate. Internally, we're also increasing the focus on commercial excellence across the business. This is a real opportunity to do more, ensuring that our brand activation is increased at point of sale in what is typically a crowded store environment and increasing our presence in the on-premise as well with, for instance, more listings on menus with cocktail offerings with our terrific brands and greater displays on the back bar. Here, too, we will look at the spend to drive more rigor on returns and maximizing value for each dollar invested. Finally, underpinning all of these actions will be a need to ensure that Diageo has the right capabilities not just for today, but also for the future as well. Let's now move to maximizing free cash flow. There's clearly headroom to improve free cash flow, an area where I'm extremely focused on as we move forward. Consistent with ensuring our business is well placed for the long-term, the team has clearly invested quite heavily in recent years, which Diageo previously guided would normalize from 2027. We will be reviewing all CapEx commitments and future CapEx plans to assess any needs to reprioritize and/or rephase using clear and consistent IRR and payback metrics for all future CapEx. But also drive greater asset utilization and efficiencies from our existing asset base, i.e., really trying to sweat our assets a lot more. I'm also fully aware of the importance of laying down liquid and the significance of maturing stock for future business needs. This offers us a huge competitive advantage. Debra and I have initiated a deeper review with scenario planning around recovery timelines for the categories and future growth potential in the short and long term, particularly in whiskey and agave liquids to ensure that the spend here is balanced and leverages the significant step-up in investment over the past number of years. We had some of the best aged liquid inventory to the team's credit, and we will need to leverage this differentiated profile as we think about our pricing looking forward. And also, while the team has unlocked a lot of value from working capital improvements, as I said earlier, we will continue to look to deliver further sustainable improvement in working capital. Finally, we have a best-in-class supply team. And jointly, we can unlock a lot of future value. All of the work I've just talked through should ideally position us to optimize returns for our shareholders. We will be ensuring that the business has the right balance of investments for the long and short-term, but also where appropriate and consistent with our evolving strategy, we will be more rigorous in pursuing disposals where it is in the best interest of both Diageo as well as our shareholders. This will clearly support our immediate focus to deleverage our balance sheet. As you have seen more recently with the disposal of our shareholding in Guinness Nigeria and in Guinness Ghana, which was announced last week, these disposals have gone beyond the more normal active portfolio management with individual brands. And we will continue to explore further opportunities through multiple value creation lenses as we move forward. These actions will be undertaken with a view to improving flexibility whilst at the same time, maximizing shareholder returns. We also remain committed to delivering value to shareholders, and you should expect us to do this through dividends and buybacks. Where relevant, we will continue to take advantage of selective M&A, and we have built a strong track record on this in both Tequila and non-ALK, for example. But we will be both disciplined where we do this and where we see compelling strategic opportunities to support our future growth plans. We expect all of these actions that we're undertaking will drive improved returns. And importantly, we're doing this with speed. Collectively, these actions will support our deleveraging to return back to within our target leverage range. I look forward to coming back and updating you on our progress as well with more detail as we move through the year. With that, I'd like to take you through guidance for the remainder of fiscal '25. So for the full-year fiscal '25, we expect to build on the momentum in the first half. Before taking into account any impact from the tariffs in the U.S., we would expect continued strong market share performance with the sequential improvement in organic net sales growth compared with the first half of fiscal '25. However, tariffs could impact this built-in momentum. Again, ahead of the impact of tariffs, we expected a slight decline in organic operating profit in the second half, broadly in line with the decline in the first half, reflecting higher staff costs than in the prior year and continued strategic investments, including in digital and U.S. route to market. This could be further impacted by tariffs, although we will seek to mitigate where possible. The combination of our outlook and continued investment means that we expect to end fiscal '25 with our leverage ratio above our target range and ahead of leverage at the end of the first half of fiscal '25. I have already referenced our need to address this. Our focus and commitment on driving growth for the future, outperforming the market and imagine what we control remains unchanged. When we can more accurately assess the impact on future financial performance from tariffs, we will update as appropriate. As Debra has said, the long-term fundamentals of the TBA category are still very attractive and while consumer preferences always evolve, we remain confident on growth. Clearly, we have low visibility today in terms of the timing of the recovery, given the impact of the prolonged inflation and resulting affordability as well as the evolving dynamics across the Americas. Throughout this period, we are firmly focused on what we can manage and control and in building on the early first inflection we have seen in the first half. Importantly, we remain confident in our ability to outperform the market, while at the same time, in time also driving sustainable operating leverage. We have, as you have seen, removed our medium-term guidance of 5% to 7% organic net sales growth, given the current macroeconomic and geopolitical uncertainty in many of our key markets, which is impacting the pace of the recovery. We will, however, update you more regularly and provide near-term guidance in the interim and until we have more visibility on the pace of recovery. We also believe that the work that both Debra and I have talked to that we're doing at Diageo, means that we will be better placed than peers when the market recovers. We remain committed to maintaining a robust investment-grade balance sheet and returning to within our leverage target range of 2.5x to 3x net debt to EBITDA. We intend to do this through stronger profit delivery, accelerating productivity initiatives, tighter capital discipline after the recent period of increased investment and appropriate selective disposals in line with our strategy. Debra and I are clear about the importance of leveraging our strong leadership position in the market to drive consistent and sustainable improvement in our underlying performance with the right balance of a growth-oriented vision, but with appropriate financial discipline. We want to continue to use our solid free cash flow generation to deliver competitive returns to our shareholders whilst giving us the flexibility to invest in the business not just for today, but for the future as well. As I've just said, we will come back as and when appropriate to update on the expected impact on the evolving situation in the U.S. In the meantime, we very much look forward to seeing you at our Guinness Investor Event following a trading update released on the 19th of May. Let me now hand back to Debra for some closing comments.
Debra Crew: Thanks, Nik. No doubt, 2024 has been a tough year for the entire sector. Industry performance in several of our key markets has been impacted by a cautious consumer environment and geopolitical uncertainty. And considerable uncertainty remains notably on tariffs. While it's challenging to predict the timing of a full recovery, we are confident in our ability as a market leader to build on the momentum of the first half to continue to outperform the TBA market, critically important in this environment. The confirmation of the weekend on the implementation of tariffs in the U.S., whilst not unanticipated, could, however, very well impact this building momentum. As Nik discussed, it unfortunately also adds further to complexity in our ability to provide updated forward-looking guidance today, given this is a new and dynamic situation. We are taking a number of actions to mitigate the immediate impact and disruption to our business that tariffs may cause and to support our distributor partners and customers in both the on and off trade who rely on our brands, while continuing to manage our business for the long-term. We will also continue to engage with the U.S. administration on the broader impact that this will have across the U.S. hospitality industry, including consumers, employees, wholesalers, restaurants, bars, and retail outlets. Nik and I have been working closely together. And as you just heard Nik to detail, we are energized and excited about the significant opportunity to strengthen and drive improved performance at Diageo, creating a more agile culture, where we drive better end-to-end accountability. We are convinced that we are taking the right actions to drive sustainable outperformance. We are firmly focused on what we can control now more than ever. We also believe that the actions we are taking will ideally position us to benefit when the market recovers and also ahead of our peers. Even against the current uncertain backdrop, this is an exciting time for Diageo, and we look forward to updating you in our more frequent communication as we move through the year. Thank you.
Q - :